Operator: Welcome to the 2015 Second Quarter Conference Call for Genesis Energy. Genesis has five business segments. The Onshore Pipeline Transportation division is principally engaged in the pipeline transportation of crude oil. The Offshore Pipeline Transportation division is engaged in providing the critical infrastructure to move oil produced from the long-lived world class reservoirs from the deepwater Gulf of Mexico to onshore refining centers. The Refinery Services division primarily processes sour gas streams to remove sulfur at refining operations. The Marine Transportation division is engaged in the maritime transportation of primarily refined petroleum products. The Supply and Logistics division is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call, Management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims; CEO of Genesis Energy L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer, and Karen Pape, Chief Accounting Officer.
Grant Sims: Good morning and welcome to everyone. This morning we reported available cash before reserves of $68.8 million providing 1.0 times coverage of the distribution we will pay on August 14th. Excluding the effects from our 10 million or so common units issued in July of 2015 to fund a portion of our acquisition of the enterprise offshore pipeline and services business, which will be available for that quarterly distribution available cash before reserves would have provided 1.1 coverage for the quarterly distributions. That distribution was 62.5 per unit represents the 40th consecutive increase in our quarter, represents the 40th consecutive increase in our quarterly distribution, 35 of which have been greater than 10% over the prior year's quarter and none of which have been less than 8.7%. Last Friday, we closed our acquisition of enterprise offshore pipeline and services business. These offshore assets substantially enlarge our portfolio strategic infrastructure in the Gulf of Mexico, allowing us to further enhance our support of the world-class oil developments of integrated and large independent energy companies operating in the deepwater Gulf of Mexico. We believe, the acquisition will be immediately accretive to our cash available for distribution per common unit and will improve our credit metrics over time, which should accelerate an increase in our credit ratings in the future. In addition, we look forward to welcome to Genesis world-class team that has been assembled by enterprise stock rate manage these assets. Since acquiring ownership interest in each of Cameron Highway Poseidon and SEKCO, we have been impressed with this group and look forward to a seamless transition for them and the customers we serve. To finance that acquisition, two weeks ago we sold 10.35 million common units in a public offering that generated net proceeds of approximately $437 million and $750 million aggregate principle amount and 6.75% notes due 2022 that generated net proceeds of approximately $729 million. We funded the remainder of the purchase price of the offshore acquisition under our senior secured credit facility, which we recently amended to provide for a total of $1.5 billion or an increase of $500 million of committed borrowing capacity to allow for further funding of working capital requirements growth and general partnerships needs. With regards to our other growth initiatives, our second quarter results reflect the continuing contributions from our newest assets, our interested in the SEKCO pipeline and M/T American Phoenix. Volume flow in the SEKCO pipeline increased throughout the quarter. Though this throughput only had a direct financial benefit to our then existing interest in Poseidon and limited benefit to SEKCO once minimum volumes were achieved and exceeded. In both cases, only through May is a practical matter, because of our treatment them is equity and earnings. We anticipate the financial effect of these volumes to positively impact our results in the second half of 2015 to our now 100% owned SEKCO pipeline, which will be consolidated and are increased economic interest in Poseidon which we anticipate to continue to be reported as are non-consolidated joint venture. M/T American Phoenix, which we acquired in November 2014, is now fully integrated into our offshore marine fleet and we are pleased with the results achieved today from the operations of this vessel. When coupled with the additional inland barges, we have added to our marine fleet, we anticipate continued favorable comparisons of operating results from our Marine Transportation segment in the second half of 2015. We continue progress on our refinery-centric projects in Louisiana stretching from Port Hudson through Baton Rouge in south to Raceland, all designed to provide services for multiple refining complexes in Louisiana. Although a small portion of that infrastructure in operation, we would not expect to see meaningful volumes until those facilities are completed in the second half of 2015. Our business strategies that we previously outlined, coupled with our complementary acquisitions and growth projects we will be ramping up throughout 2015 and into 2016, as well as our recent material acquisition should position us well to continue to achieve our goals of delivering low double-digit growth in distributions and increasing coverage ratio and improving leverage ratio, all without ever losing our cultural focus on providing safe, responsible and reliable services. With that, I will turn it over to Bob.
Bob Deere: Thank you Grant., in the second quarter of 2015, we generated total available cash before reserves of $68.6 million, representing an increase of $13.3 million or 24% over the second quarter of 2014. Adjusted EBITDA increased $17.1 million over the prior year quarter to $87.3 million, representing 24% year-over-year growth. Net income for the quarter was $11.7 million or $0.12 per unit, compared to $21.1 million or $0.24 per unit for the same period in 2014. We recognized a $19.2 million loss in the second quarter in relation to the early retirement of our $350 million 7.875% senior unsecured notes, which we refinanced with a new eight-year tranche at a 6% coupon. Segment margin from our Onshore Pipeline Transportation segment decreased $2.2 million or 13% during the second quarter periods. The decrease was primarily the result of a decrease in revenue from pipeline loss allowance volumes collected and sold, due to the change in the market price of crude oil between the respective periods. Offshore Pipeline Transportation segment margin increased $13.7 million or 120% during the second quarter period. The increase was primarily the result of financial contribution realized from the minimum throughput requirements on our SEKCO pipeline. Upon completion of the SEKCO pipeline in July 2014, we began earning certain minimum fees with actual crude deliveries beginning in January 2015. While throughput has commenced some of the SEKCO pipeline, throughput volumes did not exceed a level at which throughput revenues would exceed the monthly minimum payments until May 2014. Until that point, all such throughput benefited our Poseidon pipeline, but did not add additional contribution from SEKCO. Refinery Services segment margin decreased $1.4 million or 7% between the second quarter periods. NaHS revenues decreased due to a reduction in volumes. The reduction was attributable to the bankruptcy of one mining customer, reduced sales to a major customer as they work through in a typical order, so as a result of the landslide and certain sales foregone as a result of supply interruptions at one of our major processing facilities. We were able to realize benefits from our favorable management of the acquisition and utilization of caustic soda in our operations and from our logistics management capabilities, which somewhat offset the effects on segment margin of the decrease in NaHS sales volumes. Segment margin from our Marine Transportation segment increased $8.2 million or 43% between the second quarter periods. The increase was primarily attributable to a full quarter of operating results from the anti-American Phoenix which we acquired in November 2014. The results also benefit from the addition of two additional barges to our inland fleet and higher contact rates on several of our ocean going barges. Supply and Logistics segment margin decreased by $2.5 million or 17% between the second quarter periods, primarily due to lower crude volumes unloaded at our NaHS terminal and our Port Hudson terminal relative to the 2014 quarter. As we prepare for the increased utilization of different phases of our Baton Rouge facilities. Interest cost of the second quarter of 2015 increased by $3.8 million from the second quarter of 2014, primarily due to an increase in our average outstanding indebtedness from newly acquired and constructed assets. Interest costs on an ongoing basis are net of capitalized interest costs attributable to our growth capital expenditures. In addition to the factors impacting available cash before reserves, other components of net income included depreciation and amortization expense, which increased $7.7 million between the quarterly periods, primarily as a result of newly acquired and constructed assets placed in service. Also, in the 2015 quarter, our derivative positions resulted in a $200,000 non-cash unrealized gain compared to a $2.7 million non-cash unrealized loss in the 2014 quarter. As previously discussed, we also recognized a $19.2 million loss in relation to the early retirement of our $350 million, 7.875% senior unsecured notes. The items discussed above has partially offset by an increase in segment margin resulted in a decrease in net income per common unit of $0.12 between quarterly periods. Grant will now provide some concluding remarks for our prepared comments.
Grant Sims: Thanks Bob. As discussed, our businesses were performing well and we expect them to continue to do so in spite of certain challenges or headwinds that always seem to pop up. We expect to continue to be well served by our business strategies and being primarily refinery-centric and supporting long-lived world-class oil developments of integrated in large independent energy companies. As always, we would like to recognize the efforts and commitment of all of those with whom we are fortunate enough to work, including our commitment to providing safe, responsible, reliable services. With that, I will turn it back over to the moderator for any questions.
Operator: [Operator Instructions] Your first question comes from the line of Brian Zarahn from Barclays. Your line is open.
Brian Zarahn: Good morning.
Grant Sims: Good morning.
Brian Zarahn: I guess, on the Gulf of Mexico acquisition you acquired at a pretty attractive multiple, but we are seeing some lower CapEx budgets even from the majors. Can you talk a little bit about the downside protection that you have from the acquisition if we do see the lower production.
Grant Sims: Well, we do not actually anticipate relative to at least the next several years any substantial diminution in any kind of the anticipated throughputs through the acquired assets based upon drilling activity, the development activity that is occurring at both contracted and existing facilities, so we don't have any concerns from our perspective of seeing any kind of dramatic decrease in volumes over the next three to five years.
Brian Zarahn: Looking at the other side of things, if volumes in your base case grow do you see any opportunities for growth projects or is it more just higher volumes on the base assets?
Grant Sims: We see significant opportunities. I mean, I think, Anadarko mentioned earlier this week that Lucius, which goes into SEKCO has ramped up and stabilized the design capacity of 80,000 barrels a day that Heidelberg is on track for first production in second quarter of 2016, which has already contracted to about 60% to go to Poseidon, about 40% to go to Cameron Highway. There is continued activities, they are drilling delineation wells at both, Shenandoah and Getty just using them as the most recent, because they announced earlier this week, so the point is that similar to SEKCO, the preponderance of new deepwater developments to access back to the infrastructure needed to shore, which is represented by Poseidon and Cameron Highway, we believe will generate incremental opportunities for us on SEKCO-type lateral opportunities on a go-forward basis.
Brian Zarahn: Okay. We will stay tuned on potential growth projects. Just turning to marine transportation, the business is obviously doing well. Can you comment on re-contracting rates, where they stand relative to a year or so?
Grant Sims: The American Phoenix is under, which is our Panamax class vessels under contract, which will go on an increased contract basis starting on or about September 1st, under a five-year contract with B66, so we will have. That contract rate is higher than what it is currently working for. We have been re-contracting our ocean going barge at rates consistent with, if not slightly higher than what they have been historically contracted for. On our inland side, again, I want to emphasize that our focus is on black oil or either barges exclusively. We do not move crude oil. We move intermediate refined products between the refinery locations and contract with the refiners to provide that transportation service and we are seeing no step back in the pricing for that type of service in the inland barge business.
Brian Zarahn: Last one for me looking at crude by rail, you know what kind of impact are you seeing in terms of barrels reaching the West Coast, there have been a lot of delays in our loading facilities and how is that impacting your crude by rail business?
Grant Sims: I think it is probably we are obviously not involved in any kind of unloading facilities on the West Coast. We anticipated that a couple of our loading facilities ultimately the rationale destination is the West Coast, with the level of activity is consistent with our previous expectations with the trains that are getting loaded are not necessarily going to the West Coast, become going to other locations.
Brian Zarahn: Thanks, Grant.
Grant Sims: Thanks.
Operator: Your next question comes from the line of Shneur Gershuni from UBS. Your line is open.
Shneur Gershuni: Hi. Good morning, guys.
Grant Sims: Good morning.
Shneur Gershuni: I was wondering if I can spend my first question just sort of talking about the transaction from a financing perspective with enterprise. You know sort of when I run through the numbers that you presented, it seems that you basically roughly financed the equity component or rather you equity finance the project by about 30% versus the traditional 50-50, so when I sort of look at the deal seeing that it is extremely accretive, I mean, is the plan effectively to balance out the funding gap by using the excess distributable cash flow to effectively bring down the debt or is there potential equity overhang as well too on a go forward basis?
Grant Sims: Our anticipation is that it is so widely accretive on an EBITDA basis that our coverage ratio will generate significant excess cash while still being able to maintain our historical growth rate in distributions and yes we would anticipate using that the excess cash to repay a portion of the debt and predominantly that draws under the revolver to the manage our leverage ratios back down to know the plus or minus four turns.
Shneur Gershuni: Okay. Once you have paid down that debt, kind of as a follow-on, when I think about your distribution growth outlook, you have kind of been pretty firm about where you would like it to be and so forth, but once leverage comes down, your coverage is still to be relatively high. If there is an organic growth project or an acquisition opportunity, I mean, stepping up the payout of the distribution be a consideration or even or unit buyback. I mean, obviously this would be absent in organic growth project or acquisition opportunity.
Grant Sims: We have been pretty firm in our distribution policy. In fact, we have done it for 10 years at this point, but you are you are exactly right. I mean, I think that it generates a lot of the financial flexibility for us that to the extent that I guess in one sense we view that is providing the equity to do other organic opportunities and provided that we are capable of identifying organic opportunities and/or other acquisitions, which makes sense to us to be able to continue that track record. That is what we will evaluate. I mean, we feel very good about where we are certainly for the next three to five years in terms of being able to meet our financial goals.
Shneur Gershuni: Okay. Then one last final up question about the results I realize you gave, Grant, quite a bit of detail, but I was wondering if you can explicitly expand on the onshore volumes kind of the performance year-over-year and where you expect the trends to be over the next six to nine months and possibly longer if you have that kind of a crystal ball?
Grant Sims: We would anticipate primarily growth in the onshore volumes to occur in Louisiana system as our integrated project to continue to - we bring certain parts of it in the full operations and integrated operations. As we said in the prepared remarks, kind of said for the last nine months, I guess, it is a kind of a complex integrated project, involve [ph] startup-type operations we won't see what we would call meaningful volume growth until everything is kind of completed towards the end of this year and early and ramp up into 2016.
Shneur Gershuni: Great. Thank you very much guys. I appreciate the color.
Operator: Your next question comes from the line of Justin Jenkins. Please state your company. Your line is open.
Justin Jenkins: Hi. Thanks guys. This is Justin Jenkins from Raymond James. I guess, I just got a really quick follow-up from the previous question on comments on the onshore pipe segments and specifically the Louisiana system. I know you said there is a lot of work going on with the organic project in the region. I guess I am just wondering if that was the reason why we saw volumes dipped on that system or if was turnaround related, I guess just looking for a little more color there?
Grant Sims: As Bob mentioned though in the year earlier period, we were taking a number of volumes in to the same refinery complex, but they were coming in through matches in Port Hudson both and those with - in this quarter were less than they were in a year ago quarter, but as we are transitioning to more ratable higher volumes coming from the integration and completion of everything, so I would not read anything into it other than we are transitioning and we would anticipate that the period-over-period comps will be favorable in the remaining quarters in 2015 and certainly into 2016.
Justin Jenkins: That is perfect. Thanks.
Operator: [Operator Instructions] Your next question comes from the line of TJ Schultz from RBC Capital Markets. Your line is open.
TJ Schultz: Hey, Grant. Just one thing from me, on the timing of the South Louisiana projects, you guys when you did the offshore deal kind of indicated fourth quarter EBITDA somewhere over $140 million, so I am just trying to figure out kind of from the South Louisiana that sand [ph]. How much of that is in that fourth quarter implied run rate. Maybe if you could give an update on the total CapEx that has been allocated to South Louisiana. Then how that kind of ramps up over the next call it six to nine months?
Grant Sims: I would not, under certain of FD restrictions, I am not sure that $140 million run rate was necessarily what we would consider to be our expectations for the fourth quarter, but we are spending in the aggregate about $0.5 billion between in the quarter from Port Hudson and down through Raceland. As we have consistently maintain, we believe that once fully operational all the way through that we are building tanks and on a base case basis from our perspective would generate kind of seven to eight time multiples and in certain cases we think that there is a possibility for exceeding that. I would certainly anticipate that starting and ramping up and getting into a run rate of that type of thing by the middle of 2016 would not be an unreasonable expectation.
TJ Schultz: Okay. Thank you.
Operator: Your next question comes from the line of Dan Schenk from MLV & Company. Your line is open.
Dan Schenk: Hi, good morning everyone. Just a couple of quick questions, with a larger footprint with the enterprise deal, curious about your CapEx. I know you have guided to about $290 million. I know it is a little early in the game to lock down on new number, but are you guys going quarter you are going to be revising that number at all or how are you thinking about that?
Grant Sims: Well, again I know there is no significant material near-term organic growth identified off of the expanded footprint at this point, so I would not anticipate in and of itself for the 2015 and possibly even in the 2016, although we are always working on stuff, that we would see any significant organic expenditures off of the in the Gulf of Mexico.
Dan Schenk: Okay. Part of the deal you guys also acquired an offshore team from enterprise. I was kind of curious from a modeling perspective what that does to your G&A expense. Do you think you kind of staying that I think $10 million to $50 million range or do you think that increases significantly?
Grant Sims: The team that we are acquiring will in essence all be charged, if you will, from a financial reporting point of view into the offshore pipeline segment. There may be incrementally additional things that we actually account for in the corporate SG&A whether or not it is incremental in-house legal expense or potentially some of accounting things, but typically in the kind of the EBITDA guidance that we gave with how we view the acquisition that is inclusive of the field operations in the management team that we are transitioning over that has historically been reflected in the historical financials of the acquired assets.
Dan Schenk: Great. Thank you.
Operator: Your next question comes from the line of Bernie Colson from Oppenheimer. Your line is open.
Bernie Colson: Good morning, guys.
Grant Sims: Good morning.
Bernie Colson: I was hoping that you could just talk a little bit about refinery services that segment of the business and some about the declines in the quarter. Then also are you seeing any opportunities going forward to expand that segment or do we think that that is just going to kind of continue to shrink as a percentage of the whole?
Grant Sims: Well, it is two part questions. First as Bob mentioned and I think we mentioned in the press release, we discussed that there is a bankruptcy of an independent copper mine in Arizona, which represented about 1,500 tons per quarter run rate. Also one of our very large customers in the U.S. had a wall collapsed at one of their mines and as a result typical ore body in their requirements for our products are going to be burdened on a quarter-over-quarter basis that was close to 2,000 tons. That possibly could last into the end of 2016, but otherwise we have not seen any significant behavioral modifications from many of our existing customers. From a longer-term perspective, as we have consistently said, it we really cannot grow that business anymore than the market primarily the market for NaHS, caustic soda, we also doing that margin - we cannot grow it any faster than the our ability to meet those incremental market demand. Because we are spending money and growing on other things, whether or not it is the Onshore Pipelines and the Offshore Pipelines that kind of unnecessarily is just arithmetic would say that I will become a still a great business and growing to the extent that the markets allow us to grow it, but we will become a smaller percentage contributor to our overall segment margins.
Bernie Colson: Okay. Other than those couple of blips in the quarter, there is no real change in your outlook - the demand for the end products that a good summary of what you believe?
Grant Sims: That is correct.
Bernie Colson: Okay. Thank you.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Grant Sims: Okay. Well, thanks everybody very much for joining us this morning and we will talk to everyone in 90 days or so. Thank you.